Operator: Good day, and welcome to the Ryanair Q1 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Michael O'Leary. Please go ahead, sir.
Michael O'Leary: Okay. Good afternoon, ladies and gentlemen. Thank you for participating in the Ryanair Q1 Conference Call. As it's the Q1 numbers, I'm going to run through it very quickly, and I'm going to spare you all and you'll be pleased to know how we're reading the MD&A. The results release, the MD&A and the investor presentations is on the website, www.ryanair.com. Please feel free to have a look at it and download it as you wish. So just to summarize today, we announced our Q1 results as we had previously guided at the full year results. The earnings were down 29% to EUR 99 million. Overall, revenues increased 11% as traffic grew 6% and average fares rose by 4%. This led positively [ph] because of unit cost increase of 10%, which is mainly due to a substantial fuel cost increase of over EUR 170 million but Q1 profits declined by EUR 40 million. As previous -- as I said, as we've previously guided, the significantly higher fuel costs caused the Q1 profit to fall by EUR 40 million. Nevertheless, the growth continues our 6% traffic growth, combined with a 4% rise in average fares, led to an 11% increase in revenues. Ancillary sales grew by 15% to EUR 286 million, and now account for 22% of total revenue. Operating costs for the quarter rose 10%, primarily because fuel increased 27% or an increase of EUR 117 million to a total bill for the quarter of EUR 544 million. Fuel in Q1 accounted for 47% of total operating costs. We were hedged at $820 per barrel -- or per tonne rather in Q1 last year compared to $1,000 per tonne this year, a price increase of 22%. As a result, the Q1 numbers suffered the largest fuel costs rise in the coming FY '13 numbers as the pricing differential narrowed significantly over the remaining 3 quarters of the year. The Q1 yield increases were dampened by EU wide recession, austerity measures and some heavy fare discounting, particularly at new base launches in Cyprus, Denmark, Hungary, Poland and in provincial U.K. Excluding fuel, Q1 unit cost rose by 3%, despite a 2% -- which was largely result -- largely caused by a 2% rise in average in flight crew pay, higher charges at certain airports and the impact on cost of stronger sterling against the euro. More recently, developments on the 1st of July, the Spanish government more than doubled airport taxes at Aena's already high-cost airport in Madrid and Barcelona. They also announced smaller tax increases at other Spanish airports. These tax increases have already led to a winter capacity cut by Ryanair and many other airlines in Spain, and we think will result in traffic declines at the major Spanish airports, which is exactly what the Spanish government deserves for this kind of economic stupidity. What's more importantly, last week, we warmly welcomed the U.K. Court of Appeals, the dismissal of BAA/Ferrovial seventh appeal against the 2008 Competition Commission recommendation that Stansted be sold. We know the BAA intends to appeal that again to the Supreme Court but believe that, that appeal has little chance of success, particularly given the competition Court of Appeals have taken to refuse the right of appeal last week. Nevertheless, we think they will go ahead with the appeal, but we think the Supreme Court will dismiss the appeal. We were somewhat concerned by the BAA's comment last week that traffic rose -- that, that traffic declines at Stansted was due to low consumer confidence. This report is complete rubbish and the same low consumer confidence hasn't affected traffic growth at both Heathrow and Stansted, Heathrow and Stansted airports. The real reason why traffic is declining at Stansted is because BAA monopoly has been gaining the regulatory system, raising airport prices, presiding over traffic declines so they can fatten up the P&L for the inevitable sale of Stansted. And as soon as these regulatory gaming is brought to an end, and Stansted -- Ferrovial forced to sell Stansted, the better it will be. We believe that BAA -- Stansted Airport will return to growth, and Ryanair is keen to grow our traffic at Stansted but only when there's a new management or a new owner in place committed to lowering the costs of the airport and working with Ryanair, the airport's largest airline to grow traffic. Looking forward, we're 90% hedged -- fuel hedged for FY '13 at approximately 1,000 barrels -- $1,000 per tonne, a 21% increase on last year's price. We've recently hedged 50% of our half 1 FY '14 requirement at a lower price of $940 per tonne. However, these lower fuel prices would be more than offset by lower euro dollar exchange rates. The outlook for the remaining -- throughout the year remains cautious. We expect full year traffic to grow 4%, which will be a combination of 7% growth in the first half and 1% in the second half Q2, a repeat of last year winter significant capacity costs. We expect positive yield growth will continue in Q2, but believe that a smaller fuel cost increase, mainly due to higher Q2 comparables last year and the impact of fuel saving measures we have recently implemented, should improve the profit performance in Q2. Currently, as you know, at this time of year, we have no visibility over next winter's yields, but we continue to be cautious. We expect the continuing austerity, EU recession and lower fares and yields at new basis will continue to restrain fair growth. However, until we get some visibility over the H2 yields, our guidance for FY '13 remains unchanged in the range of EUR 400 million to EUR 440 million, as previously stated in the full year results. As I've said, we're not going to have power [ph] to read through the MD&A. We take it as that you've got all [indiscernible] can read it. Before I open up to questions, may I add as, caution, everybody, we're not going to take any questions about Aer Lingus or the offer for Aer Lingus. As we've said in the statement this morning, we're in the middle of a process -- an extensive process engagement with the EU Commission. It's underway. We expect to run through until the end of August or mid-September. And we're not willing or nor do we believe it appropriate to comment publicly on that process, so that we give the team and the [indiscernible] every opportunity to consider the issue, the competition issues, and the remedies that we will be cabling [ph] for it. So please, don't ask any silly questions about Aer Lingus because we're not answering them. Okay, with that, Vanilla [ph] , we'd open it up to questions.
Operator: [Operator Instructions] We will take our first question from Mark Manduca of Bank of America.
Mark Manduca - BofA Merrill Lynch, Research Division: Very simple. In regards to -- I think we've got this question actually in regards to Q1, Q2, Q3 and Q4 and how one gets to guidance. But bear with me, right? So you made -- in simple terms, last year, EUR 543 million or EUR 544 million of net profit. One expects that to be slightly above this year for H1. So how do I square the circle with Q3 and Q4, having only made in H2 last year EUR 2.2 million, to get me from the EUR 545 million, let's call it the second largest [ph] in H1 this year, to your EUR 440 million at the upper end of guidance based on everything that we know about fuel and how it's weighted in H1 and H2 and all the currency effects? I just want to work out how conservative you're being, Michael.
Michael O'Leary: We're being conservative as usual for the second half of the year, and we don't have any yield visibility, and we think the yields will be down in the second half of...
Howard Millar: March.
Michael O'Leary: March and it would be flat in the second half of the year. Howard, do you want to take the asset question?
Howard Millar: Yes, Mark. We think that we will make up the deficit from Q1 in Q2, which would be at or slightly ahead of where we were last year. And Q3, Q3, we would expect to move from a profit into a loss, and have a loss again in Q4.
Mark Manduca - BofA Merrill Lynch, Research Division: So you made EUR 14.9 million in Q3 last year, and in Q4, you made minus EUR 12.7 million. So you have to lose essentially EUR 100 million in H2 to get you to EUR 440 million and lose EUR 140 million to get you to EUR 400 million? Fair?
Howard Millar: Yes, that's -- that is what...
Michael O'Leary: [indiscernible] combination significant to higher oil prices and/or yield.
Mark Manduca - BofA Merrill Lynch, Research Division: Understood. But the way with the EUR 300 million extra of incremental fuel is weighted. It's 40, 30, 30, Q1, Q2, H2. So I'm assuming that's basically an incremental EUR 90 million in H2 and still that doesn't get me through the incremental EUR 100 million of losses. Well, it's just a point, I guess, so just basically trying to say. And the market gets the joke. I mean, look at how the stocks traded today, so I'm just trying to make a point that it seems to me very, very conservative.
Michael O'Leary: We wouldn't describe any of these fuel cost increases as a joke nor do we regard our guidance as a joke, Mark, but yes. I think you are -- the way you think the fuel is pretty much in line what we are now -- we now estimate.
Howard Millar: Mark, may I remind you that on the conference call in May, we guided mid-single digits fuel guidance, which a lot of the analysts ignored. We also guided that profits would fall significantly in Q1, which quite a few analysts ignored. So we can only give you our best guidance, but if people want to listen to that or not, that's up to them.
Operator: Our next question is from Stephen Furlong, Davy Research.
Stephen Furlong - Davy, Research Division: Just I noticed, just a question on the capacity growth. I know that in the winter, you plan growing by 1%. I think before you were saying 3%, so there's some winter capacity growth. In the current schedule, what's the plan in terms of grounding aircraft? You grounded 80 last winter, or have you decided on that? And secondly, just related to that, have you factored that into the cost guidance in the second half of the year?
Michael O'Leary: We factored in the outcomes [ph] in the second half of the year, Steve. At the moment, it's a little bit early to be able to say precisely how many aircraft we will ground. Last year, it was 80, there are still some negotiations ongoing with airports and with government around Europe. It could be a little less than that, it could be little bit more than that. Certainly, we're reallocating aircraft at the moment that we are taking out of Spain, particularly the Canaries, Madrid and Barcelona, some of those will get reallocated. We'll be announcing further growth or some new rooms [ph] activity later this week and early next week later. But so -- it's a bit fluid yet, but I think a reasonable number at the moment would be the 80 aircraft. It could be a bit higher, it could be a bit lower.
Operator: Our next question is from Jim Parker of Raymond James.
James D. Parker - Raymond James & Associates, Inc., Research Division: Would you update us on the breakdown of your currencies or the percentage of the expenses that are in USD, sterling and euro?
Michael O'Leary: Howard, you want to take that one?
Howard Millar: Well, The easiest one, Jim, is the sterling. It's about 25% of revenues and about 25% of costs. So although we're not fully covered, we're almost entirely covered by that. And in terms of our fuel costs, that's our biggest portion of our cost base. And if you look at Q1, Jim, that's 47%. This year, it looks like being about 40% of our -- a bit over 40% of our total costs, and that's mainly our dollar exposure. We do have some other smaller exposure on maintenance, aircraft insurance, but they're really quite small.
James D. Parker - Raymond James & Associates, Inc., Research Division: Okay. And Howard, what hedging -- how much hedging have you done with currency, hedging the euro against USD?
Howard Millar: We're fully hedged for the remainder of this year. Our average rate is EUR 140 million for CapEx and EUR 138 million for fuel.
Michael O'Leary: And that's to March 30 this year.
James D. Parker - Raymond James & Associates, Inc., Research Division: Yes. Assuming you don't acquire any additional aircraft, what would be your seat growth in fiscal years '14 and '15?
Michael O'Leary: It's a bit too -- it will be low-single digits, Jim. It depends on how many aircraft we sit on the ground with those in each of those winters. At the moment, this year, we take delivery of another 11 aircraft in the, say, quarters 3 -- calendar quarters 3 and 4. That would give it about 4% headline growth next summer. And we would plan over -- that's the following winter and maybe the following winter again to not ground up to 80 aircraft. The situation would be fluid depending on the outcome of negotiations with airports and growth incentives we may get.
Operator: Our next question is from Gerard Moore of Merrion.
Gerard Moore - Merrion Stockbrokers Ltd., Research Division: Three questions, please. First of all, on the yields. So you've just increased the yield by 4% in the quarter there, and the guidance, I think, for Q2 is for growth of 4% to 7%. Could you maybe give us a bit more color as what you're seeing on the ground that makes you confident that the yield in Q2 will be better or stronger than the yield in Q1? Is there any particular region that's doing better than another? Are there any factors that you could explain to us? The second question is probably for Howard. Just -- you gave us there details on the dollar hedging and for FY '13. Could you give us an indication of your dollar hedging for FY '14, just what rates and what percentage you're at? That will be great. And then, the final question is just on the guidance for the nonfuel unit cost inflation to be flat this year. Is that flat taken to account currency movements or is that flat on a pre-currency movement, pre-sterling movements like we saw impacted this quarter?
Michael O'Leary: Okay, Gerard. Dealing with the first part first, the yield, a bit more color in Q2. There's a couple of factors that influence that. Clearly, one of the things that we had -- most of the new basis where there's been a lot of intense price competition in about -- in Q1 are more of an established and benefiting from peak period traffic flow during Q2. We've also seen a strong bookings in recent weeks from Ireland, the U.K. to Spain, Italy, places like that, which we attribute to some benefit from the s***** weather we've been having up here in the northern part of Europe, and also in the U.K., a desire to get out of London during the Olympics. But I don't want to overplay it. Like we're being fairly modest or cautious in the year's outlook. As we said, I mean, we went some pains on the full year results to say the yield growth is a little bit flatter, it's a bit softer than we had seen the -- in the prior year. But I think it's important to say yields are rising at the moment, but the rises are not -- are not enough, sufficient enough to fund the significantly higher oil prices. Nevertheless, traffic is growing and yields are growing. And we do expect a slightly stronger yield performance in Q2. And we say that now and at the end -- or the end of July, so we're -- we have a good visibility on Q2. Out of hedging, FY '14...
Howard Millar: Yes. We don't have any cover for FY '14 for the 50% of H1 we've hedged. So we're only hedged at the moment. If we were to hedge at current prices, that would be adverse about 5% on unit costs. And the other question?
Michael O'Leary: Nonfuel unit costs...
Howard Millar: Yes, nonfuel unit costs, yes. Of the 3% in Q1, about 1% was the impact of sterling, a bit over 1%. And 1 or 2 smaller one-off costs in Q1. So the real underlying rate is a bit over 1%. So we're saying broadly flat for the year, but could be up or down 1% or so. What we think would be helpful at the back end of the year is the impact of shorter sectors. So we expect sector length will start to fall -- looking at the shares you have at [ph] the moment, which will help keep unit cost down.
Gerard Moore - Merrion Stockbrokers Ltd., Research Division: Okay, maybe just one follow-up question. How much do you expect the sector length to fall in the second half of the year? And is that also one of the reasons you expect the yield to maybe -- to be slightly down in H2? I think you mentioned that earlier on.
Michael O'Leary: It's impossible to say [indiscernible] subject to the concluding discussions and negotiations with various airports, new route developments and some possibility of new route launches in the second of the year. It's just too early to say yet. We'll have a much better pick on that by the time we get to kind about the end of September, October. We'll know the actual -- what the schedule looks like.
Operator: Our next question is from Peter Hyde of Liberum Capital.
Peter Hyde - Liberum Capital Limited, Research Division: Just a couple questions then from me. Firstly, ancillary revenue, 22% of total revenue. Do you think it's going to come back to 20% on your long-term goal? Or do you think it's kind of shift in consumer mentality that they're happy to pay for ancillary-type stuff but not for the fares? Second point is, you couldn't give us roughly how much capacity is at these new basis, could you?
Michael O'Leary: No to the second part of the question. I'll cover them as I can, but we'll come back to you. I mean, if you want, you can do a follow-up later on, Peter, with Investor Relations here. We give the numbers on capacity at a different basis. On ancillaries, I don't get too hung up on it. I still -- we still believe that over the medium term, it will be about 22%. I can tell you, it'd about 20%. 22% is marginally higher than we would expect it to be. But if the folks [indiscernible] that the yield growth in the Q1 wouldn't have been as impressive as it was in Q1 year of the prior year. I still think that the purpose of your modeling on ancillaries at around 20% over the medium term is reasonable, and it may harbor at or about that number. We've been a little bit higher than that in the last year or 2, partly because we've been getting good at separating out new forms of ancillary revenues like the priority boarding, the reserved seating and has been working particularly well. And that will continue but because the function of a moving yield.
Peter Hyde - Liberum Capital Limited, Research Division: Can I just ask one other question and then [indiscernible] some way to assess Stansted. There's a chat about the fact you'd be willing to take 25% stake, is that right? What are your thoughts about investing in airport infrastructure?
Michael O'Leary: I think we talked to about 5 different consortium, we're bidding for Stansted. Some of them are very keen to get us to sign up to a traffic growth agreement as a precondition for their bidding. Some of them want us to take a portion of the consortium to kind of demonstrate our commitment to delivering traffic growth, et cetera. We're not particularly interested in bidding for airport assets. It's not our business, but we don't have any difficulty as long as -- we don't have a difficulty taking in minority and it might be a size [ph] of the minority stake in Stansted Airport, as long as it really like-minded partner that's committed to reversing the doubling of airport prices that was imposed by the BAA monopoly 4 years ago, which has led to 5-years of unprecedented traffic growth over there. We think that there's very significant traffic growth available to Stansted but only on the basis of a -- reversing those price increases from 5 years ago, which would still make sense at a very profitable long-term asset. I think the real opportunity for consortium, particularly one working with Ryanair, is that we would not require any significant CapEx there to be able to take the traffic that's fallen from 23 million to 18 million in the last 5 years. We think it's capable of going from 18 million back up to probably 28 million, 29 million passengers, where it has -- on the current runway and terminal infrastructure it could go 30, 35 mppa. It also has a planning commission in place for a second runway, although that was part of the previous BAA scam to blow something of the order of 2 billion or 3 billion sterling building a second runway. Thankfully, that has now been abandoned. But we do believe -- frankly, we support the general campaign at the moment over there for additional runway capacity to southeast. It should not be focused around Heathrow, although we are concerned that the BAA -- Ferrovial and the BAA are trying to sterilize the land around Stansted before they sell it to prevent the second runway of being constructed in Stansted partly so they can force the authority then to constructing a third runway at Heathrow. We do believe, and I believe, in the lifetime of the current useless government in England that there will be additional runway capacity wherein the southeast we'll be allowed to proceed. Logically, that should be the second runway at Stansted, followed by a third runway at Heathrow and then a second runway at Gatwick. And those that have bought houses beside the airport in the Southeast can get over themselves.
Operator: Our next question comes from Geoffrey Collyer, Deutsche Bank.
Geof Collyer - Deutsche Bank AG, Research Division: Somebody's going to house that might get affected by a runway in the [indiscernible].
Michael O'Leary: Not a hope of a runway in defense [ph] ever.
Geof Collyer - Deutsche Bank AG, Research Division: Two questions. Can you tell us specifically what's caused you to lower traffic growth guidance from 3% in H2 to 1%? Or is the 4% in the press release a typo compared with the price 5% in this line?
Michael O'Leary: And the second question?
Geof Collyer - Deutsche Bank AG, Research Division: And second question is could you just remind us what percentage of your business is the outward bound from Spain?
Michael O'Leary: Sorry, that didn't come through, Geof. Can you ask that again?
Geof Collyer - Deutsche Bank AG, Research Division: Can you just remind us what portion of your business is outward bound traffic from Spain?
Michael O'Leary: From Spain?
Geof Collyer - Deutsche Bank AG, Research Division: Yes.
Michael O'Leary: Okay. So I'm going to write that down. Let me give you the parts of the traffic ideas [ph] . We have slightly cut back the traffic growth in the second half. Again, I think it's a response to the likelihood that we may take some additional capacity out of the Spanish market in response to the price increases at Spain, at Madrid and Barcelona. Also, the Canaries government has wedged on a 5-year growth agreement with us, so which on the Canaries, will be quite a big winter destination. So the 14 [ph] significant capacity in the Canaries, we're not closing anything there but we're calling significant capacity from the Canaries this winter. We're also having some interesting discussions with the Moroccan government, who -- under the pretty interesting legal framework down there, but -- who wants to withdraw our fare -- or their license agreement from our handling agents at the Moroccan airports without notice in favor of imposing a state-approved handler who would, of course, handle our flights for something like a 100% price increase. So tactically, we're engaged in some discussions with those airports this winter that may result in a slightly cutback rate of traffic growth. I think originally, we were heading for 80 million this year. We've cut that back to 79 million now. Some of that could be reversed depending on both what had the outcome of these discussions with those airports, and also if anybody else goes both. I mean, last week, we've got OLT, which will be another smaller airline in the Polish market at close. We think there'll be more of those this winter. Like Malèv's closure in February this year, if there's other owned, but necessarily owned proceeding [ph] , but if there's other short-term opportunities by having the aircraft ground -- sitting on the ground during the winter week and exploit those at and when they arise. Outbound out of Spain, and I will -- excluding there for the domestic traffic within Spain, we would estimate outbound from Spain is about 7% to 8% of total traffic.
Operator: [Operator Instructions] We will now take a question from Tim Marshall of Redburn.
Tim Marshall - Redburn Partners LLP, Research Division: Could you give us a reminder of what the year-on-year change in affairs in the first quarter was from your existing base? Just trying to get an idea of...
Michael O'Leary: Sorry, Tim, we can barely hear you.
Tim Marshall - Redburn Partners LLP, Research Division: Can you hear me now?
Michael O'Leary: Just speak up because you're quite faint in the line.
Tim Marshall - Redburn Partners LLP, Research Division: Can you give us some idea of what the year-on-year change in fares was in the first quarter of your existing bases? Just an idea of the impact of new routes and then the impact of the underlying softness in those fares?
Michael O'Leary: Tim, we couldn't answer that question. We don't break it down between what was existing basis because there's so many -- there's so much capacity reorganization, even within existing basis. We're chopping and changing routes at base -- there would be new basis last summer being chopped and chased. We're continuously -- I think in the last 12 months, we've opened something like nearly 400 new routes but we've also closed about 200 routes. So we would -- we don't even analyze that ourselves internally between what that's existing and what's new. But I think it's safe to say one of the kind of the unique features of the last quarter has been we've opened up some new air -- we've moved into bases like Budapest and Hungary. Last -- 2 weeks ago, we opened up in Warsaw Modlin. Over the news, I think in both of those airports is that Wizz Air, which has kind of seen itself as being central Europe's low-fare airline, has for the first time decided it wants to go toe to toe with us at those airports, so be it. Everybody's entitled to make some stupid decisions, but it means that we're having some very low-fare competition with Wizz Air over there. That is resulting in very high-load factors. But our competitive position at both Warsaw and Budapest is -- our fares will be 50% cheaper than Wizz Air's. It means we're offering some routes in Poland from Warsaw at the moment at the fare of PLN 1. I don't know what that translates to into euros but it's ...
Howard Millar: EUR 0.25.
Michael O'Leary: What is it?
Howard Millar: EUR 0.25.
Michael O'Leary: EUR 0.25 fares. We also have some equally -- I think we're down to about HUF 99, which is something similar, and that will continue until higher fare airlines like Wizz realize that they can't compete with Ryanair on price. And certainly, given their -- the lack of profitability of the history of Wizz that they can't compete with us on -- they don't have a balance sheet or a way to compete with us on cost either. And for as long as that continues, it continues. But it does translate into higher-than-expected load factors particularly lower yield. And we think some of that may well continue into the winter, but it would result in us continuing to build. I think we will add more routes at both Budapest and Warsaw this winter, and for as long as Wizz or anybody else wants to compete with us on price, we would. I always welcome price competition. It results in much better deal for consumers, it means the competition blow their brains out even faster than would normally be the case.
Operator: [Operator Instructions] We have no further questions at this time.
Michael O'Leary: Okay. Thanks, Vanilla [ph] . And with no further questions, we'll wrap it up there. As I said, the results are on the website, ryanair.com. I wouldn't get too obsessed on the Q1 numbers. We did guide for profits to be down. It is a function of an upward spike in fuel cost in the Q1 compared to a low prior-year comparable. The yield to growth has been modest. We can expect through the remainder of the year yield growth to be modest but there won't be the same fuel cost penalty in Qs 2, 3 and 4. Other than that if anybody has any further questions they want to ask, please feel free to route them back to Howard or the Investor Relations team here. We'd be happy to take your call. Okay, everybody, thank you very much for participating. Look forward to talking to you again shortly. Bye-bye.
Howard Millar: Bye-bye.
Operator: That will conclude today's conference call. Thank you for your participation. You may now disconnect.